Operator: Good day and thank you for standing by. Welcome to the Q3 2021 Aspen Technology Earnings Conference Call. At this time all participants are in a listen-only mode. [Operator Instructions] I’ll now like to hand the conference over to Chantelle Breithaupt, CFO. Please go ahead.
Chantelle Breithaupt: Thank you. Good afternoon, everyone, and thank you for joining us to discuss our financial results for the third quarter of fiscal 2021 ending March 31, 2021. I’m Chantelle Breithaupt, CFO of AspenTech, and with me on the call is, Antonio Pietri, President and CEO. Before we begin, I will make the Safe Harbor statement that during the course of this call we may make projections or other forward-looking statements about the financial performance of the company that involve risks and uncertainties. The company’s actual results may differ materially from such projections or statements. Factors that might cause such differences include, but are not limited to, those discussed in today’s call and contained in our most recently filed Form 10-Q. Also, please note that the following information relates to our current business conditions and our outlook as of today, April 28, 2021. Consistent with our prior practice, we expressly disclaim any obligation to update this information. The structure of today’s call will be as follows. Antonio will discuss business highlights from the third quarter and then I will review our financial results and discuss our updated guidance for fiscal year 2021. With that, let me turn the call over to Antonio. Antonio?
Antonio Pietri: Thanks, Chantelle, and thanks to all of you for joining us today. I want to start by welcoming Chantelle to AspenTech. Chantelle add significant experience to the senior management team. And I’ve been impressed by her financial and operational acumen and energy she’s brought to the company in the weeks since she joined us. Let’s start by looking quickly at our financial results for the quarter. Revenue was $162.7 million. GAAP EPS was $0.91, and non-GAAP EPS was $1.05. Annual spend was $609.9 million up 1% in the quarter and 6% year-over-year. And free cash flow was $100 million. Overall, our third quarter performance was below our expectations. While we continue to have a meaningful pipeline of business, it remained a challenging environment to complete transactions. We had expected purchasing dynamics with customers to improve modestly in the third quarter. However, it was broadly consistent with what we experienced in the second quarter. Our assessment of growth in Q3 was predicated on the quality of conversations with customers and their commitment to a sequence of event that have historically indicated a high likelihood of closing these transactions. As a quarter closed, many of these transactions did not received final approval at the highest level of our customers organizations and approval step that is new, or has been historically a predictable final step. We believe there were several factors that played a role in the quarter. First, the unexpected polar vortex weather event in February in the United States, and specifically in Texas, and many of the key energy producing states force to shutdown of approximately one-third of U.S. refining capacity, as well as approximately 75% of ethylene capacity and 80% to 85% of polypropylene capacity, equally impacting other chemicals production capacity. Understandably, this emergency shifted customer attention to our shutdowns, repairs, and restart of these assets. With the last few plants finally return to operations only in the past few weeks. These weather events caused the refining and chemicals industry billions of dollars in revenue and incremental expenses has been reported by these companies. One refining company reported taking an accounting charge in the quarter of between $520 million and $535 million due to higher electricity and natural gas cost alone. We believe the economic impact from these storms placed additional pressure on budget and made it very difficult for customers to commit to new spend in addition. Second, continued COVID-related lockdowns around the world, particularly in Europe and India are delaying the economic recovery in this regions and creating a significant distress for the local refining industry, as higher oil prices and tepid fuel demand of depressed refining margins. This was also the case until recently in the United States. But as economic activity has accelerated here, margins have improved in the last few weeks. And third, these dynamics combined with calendar 2021 budgets that are reflective of the uncertain macro environment and mid $40 oil price. At the time, when they were said laid in calendar 2020 created a difficult spending environment. In light of our recent performance and the current market outlook, we’re now taken are more cautious outlook on growth in fiscal 2021. It is important to know that, although we did not experience any significant losses in the third quarter, our updated outlook is based mostly in the decision making pattern by some customers. Although we continue to have significant customer engagements and demand generation activity at the top of our sales funnel, that support a pipeline of business that is broadly consistent with pre pandemic levels. We believe it is prudent to assume that the elevated level of late no decisions by customers in recent quarters could persist until at least the end of this fiscal year. As a result, we’re adjusting the range for annual spend growth to 4% to 5.5%. Our initial guidance for the year laid out a wider than normal range of potential outcomes. And our updated outlook reflects first lower gross growth driven by curtailed spending and refining and chemicals, which has impacted our MSC business and lower growth contribution from APM consistent with the pattern experienced in the fiscal year, and second attrition that will come in at approximately 6%. I would like to spend a few minutes providing more color on what we’re seeing in the market. As we discussed in depth at our Investor Day earlier this year, digitalization and sustainability are two of the most important investment priorities in the process and capital intensive industries. Customers recognize that AspenTech solutions are critically important to successfully executing in these areas, and meeting their goal of running assets safer, greener, longer, faster and more profitably. Our overall pipeline of opportunities has continued to grow each quarter since the pandemic began. And in particular, we’re seeing growing engagement with customers for sustainability related activities. We’re excited by the conversations we’re having with customers, and they give us confidence in our long-term, double-digit annual spend growth prospects despite the short-term challenge we’re facing. The macro environment has remained less predictable than originally anticipated, proving difficult for customers to commit to new spending in the near-term. We believe there are ways for our sales organization to adapt to this new environment. But this will likely only have a modest impact until macro conditions improve or normalize. The end market most impacted by macro conditions relative to our expectations is refining. Although customer engagement remains high, refining utilization rate, and margins remain below historical trends, even as they have shown improvement from last year’s lows in the United States. Fuel demand continues to be well below pre pandemic levels and during the quarter lock downs – and during the quarter lockdowns persisted in certain key regions most notably Europe and India. The cumulative impact of the past year has weighed on operating budgets and refiners ability to make incremental investments in their operations. We believe this is a temporary dynamic that will reverse itself as macro conditions improve across the world. However, in the near-term, we would characterize business conditions with refiners as amongst the most challenging in the last 10 years to 15 years, and a notable difference from the last market cycle five years ago. Conversely, as we’ve discussed on recent calls, chemical customers have shown good resiliency about spending soft-in, in the quarter, which could be a transitory issue reflecting the factors mentioned earlier in my remarks. These customers are focused on the longer term needs of their businesses and recognize the critical value AspenTech provides by enabling assets to operate in a more efficient and environmentally sustainable manner. Turning to the E&C market, our performance was largely as expected. The E&C industry continues to adjust to current CapEx spending, which is leading to higher attrition levels and lower new spend activity. As a reminder, these customers continue to use and deploy AspenTech solutions extensively across their operations, and changes in their spending levels are result of having fewer projects in backlog. We continue to have very close and active engagements with our E&C customers and understand the near-term challenges as well as exciting long-term opportunities in this market. In APM, we continue to see significant interest from customers as pilot activity remains at record levels. The combination of reduced operating rates in this asset and lower spending on maintenance has had a pronounced impact on closed rates in APM. We saw a continuation of the trend towards no decisions in many of our sales cycles. The increase in customer interest and successful pilot deployments have created a significant pipeline of various transactions that are available to be signed once market conditions improve. We have made important progress in improving now the value proposition for APM for many customers in our core industries and GEIs, which gives us confidence that APM can grow significantly faster over the long-term. We did close a number of transactions for APM in the mining and pulp and paper industries, including some minor transactions in our core industries, and most notably expanded the use of Aspen Mtell for an integrated oil company in Europe to one of their biofuel refineries. Finally, we have made good progress in building out our dedicated pharma unit, including the go-to-market teams. We believe the pharma market represents a significant growth opportunity for AspenTech and it’s an area in which we plan to continue to invest. Following our highlights of a couple of transactions we closed in the quarter. First, a global chemical company headquartered in Europe, and long-term user of our engineering and MSC suites was offered by an AspenTech competitor the opportunity to replace our engineering suite by granting a free no cost license to their technology for three years after a careful evaluation by the customer of the capabilities of both solutions, the customer proceeded to renew the agreement for our engineering suite as well as growth span by expanding use to site in Asia and other recently acquire locations. Second, longer term European customer of AspenTech selected Aspen GDOT to expand use of the multi unit optimization technology to a second refinery. Aspen GDOT was selected after the customer concluded a competitive tender process originally kicked off in April 2020 and postponed multiple times due to the pandemic. The customer is looking to increase profitability at the second refinery by improving operational performance. Third and final, a new customer to AspenTech and meet your mining company in Australia signed a transaction to deploy Aspen Mtell at two mining sites in Australia after conducting a pilot for the technology. The pilot was kicked off during the first quarter of our fiscal year 2021. The value of Aspen Mtell’s predictive capability was proven during the second quarter, and the transaction was signed this past quarter. Aspen Mtell was selected for being a commercially available software application, industrial equipment agnostic, fast to deploy and for providing a clear value proposition to reduce operational downtime. This success will lead to further rollout of Aspen Mtell to other mining sites in the future and creates opportunity for other AspenTech products with this company. As we look forward, we’re focused on managing and executing against the things that are in our control to ensure were best positioned to benefit from an improved macro environment as quickly as possible. In particular, we continue to make excellent progress in building out and expanding our market leading product portfolio. The market is responding to our vision of the self optimizing plant and how we can leverage artificial intelligence across our solutions. Feedback on both aspenONE v12 and the AIoT Hub has been very positive. For example, a U.S. chemical manufacturer has been drawn to our v12 offering as a way to democratize AI access and utilization in their business. They have noted that our AI power model building workflow is a very user friendly way to build artificial intelligence models without having existing resources trained in advanced computer science. For them, if we put AI functionality directly into the hands of the manufacturing technical personnel, where it is needed most. We believe our recently introduced innovations combined with our existing technology and 40 years of domain expertise reflect a compelling product market fit that meets our customers strategic priorities have improved efficiency and reduced environmental impact. We have introduced a tremendous amount of innovation over the past year, which provides for a number of different opportunities for faster growth over time. Whether it is hybrid engineering models, Aspen GDOT, the AIoT Hub, Aspen Enterprise Insights for any of our other recent innovations, we have more ways to deliver value for customers than at any point in our history. We will continue to make significant investments in our product portfolio and go-to-market efforts to best position the company for the long-term. We have great confidence in our business and believe our ability to invest through all the stages of the economic cycle, it strengthens our market position and ability to deliver on our long term objectives. We’re also hosting Bi-Annual OPTIMIZE Conference on May 18 through the 21, where we will continue to engage customers across all the innovation we have released and our long term historical products. This will be our first virtual customer conference and it is generating significant interest with 1000s of customers now registered. We have a strong lineup of sessions and speakers, with the technical sessions being oversubscribed from customer’s interest to present how our solutions are being leveraged to create value and improve sustainability in their operations. We look forward to your participation as well. From a capital allocation perspective, we did not repurchase any shares in the first three quarters of fiscal year 2021. And we anticipate that it is unlikely that we will meet our previously stated intent of repurchasing $200 million of stock in fiscal year 2021. The lack of share repurchase activity in recent quarters was driven in large part by practical limitations, namely a lack of available open windows to reinstitute our buyback. We have a demonstrated track record of deploying capital to drive shareholder value through our prior business cycles. Our capital allocation framework and philosophy has remained the same. Invest organically in our business, in organically with acquisitions, and where business and market conditions allow us return excess cash to shareholders via share repurchases. Finally, I would like to welcome the two newest members of AspenTech’s Board of Directors, Karen Golz and Jill Smith. Karen is a retired Ernst & Young partner who held a number of senior positions in her 40 year career with a company including as global Vice Chair of E&Y, Japan, and its professional practice and professional ethics and independence. We’re excited to add Karen’s expertise and experience to AspenTech’s Board. Jill has more than 20 years of international business leadership in diverse industries, most recently serving as President and CEO of Allied Minds, an IP commercialization company for technology and Life Sciences. And an earlier in her career as CEO and President of Digital Globe, and a partner of Bain and Company. We’re excited to add the diverse expertise and experience of Karen and Jill to AspenTech’s Board. Before I turn the call over to Chantelle, I want to reiterate the inherent strength of our business and our continued confidence in its long term growth opportunities. Even as many of our customers face a challenging environment, we believe we will grow our business 4% to 5.5% in fiscal 2021 and generate industry leading margins. As the impact of the pandemic phase and economic conditions improve. We expect our business will begin to realize the customer demand as has built up over the past year. We’re well positioned to benefit from our investment priorities that we believe will sustain double-digit annual spend growth for years to come. Now, let me turn the call over to Chantelle. Chantelle?
Chantelle Breithaupt: Thank you, Antonio, I appreciate those kind words. I am thrilled to be here at AspenTech to help lead the company through its next stage of growth. I am impressed by what I’ve seen in my few weeks with the company and the incredible passion that we have to deliver value for customers. I look forward to getting to know many of you in the weeks and months ahead. I’ll start today with a review of our financial results for the third quarter fiscal 2021. As a reminder, these results are being reported under topic 606, which has a material impact on both the timing and method of our revenue recognition for our term license contracts. Our license revenue is heavily impacted by the timing of bookings and more specifically, renewal bookings. A decrease or increase in bookings between fiscal periods resulting from a change in the amount of term licensed contracts up for renewal is not an indicator of the health or growth of our business. The timing of renewals is not linear between quarters or fiscal years, and this nonlinearity will have a significant impact on the timing of our revenue. As a result, we believe our income statement will provide an inconsistent view into our financial performance, especially when comparing between fiscal periods. In our view, annual spend will continue to be the most important metric in assessing the growth of our business and annual free cash flow. The most important metric for assessing the overall value our business generates. Annual spend, which represents the accumulated value of all the current invoices for our term license agreements at the end of each period was $609.9 million at the end of the third quarter. This represented an increase of approximately 6% on a year-over-year basis and 1% sequentially. Total bookings which we define as the total value of customer term license contract signed in the current period, less the value of term license contract signed in the current period, but where the initial licenses were not yet being delivered under topic 606. Plus term license contract signed in a previous period for which the initial licenses are deemed delivered in the current period was $175.6 million, a 39% increase year-over-year. The growth in bookings was heavily influenced by the timing of renewals, which represent the majority of our bookings in a given period. Total Revenue was $162.7 million for the third quarter a 25% increase from the prior year period. The year-over-year increase in revenue was the result of the increase in total bookings discussed above. Turning to profitability beginning on a GAAP basis. Operating expenses for the quarter were $77.8 million, compared to $70.1 million in the year ago period. Total expenses including cost of revenue were $93.8 million, which was up from $85.9 million in the year ago period. Operating income was $68.9 million, and net income for the quarter was $62.5 million or $0.91 per share. Turning to non-GAAP results, excluding the impact of stock-based compensation expense, amortization of intangibles associated with acquisitions and acquisition related fees. We reported non-GAAP operating income for the third quarter of $80.9 million, representing a 49.7% non-GAAP operating margin compared to non-GAAP operating income and margin of $53.9 million and 41.3% respectively in the year ago period. As a reminder, margins will fluctuate period-to-period due the timing of customer renewals and therefore licensed revenue recognized during the quarter. Non-GAAP net income was $72 million or $1.05 per share based on $68.6 million shares outstanding. Turning to the balance sheet and cash flow, we ended the quarter with approximately $317 million of cash and cash equivalents and $300 million outstanding under our credit facility. In the third quarter, we generated $98.7 million of cash from operations and $100 million of free cash flow after taking into consideration the net impact of capital expenditures, capitalized software and acquisition related payments. We are pleased with our cash flow performance so far in fiscal 2021, which demonstrates the consistent profitability of our business and good performance by our collections team. A reconciliation of GAAP to non-GAAP results is provided in the tables within our press release which is also available on our website. I would now like to close with guidance. With respect to annual spend growth as Antonio mentioned, we are now forecasting 4% to 5.5% annual spend growth. We now expect bookings in the range of $771 million to $809 million, which includes $519 million of contracts that are up for renewal in fiscal 2021. This includes approximately $146 million of contracts up for renewal in the fourth quarter. We now expect revenue in the range of $705 million to $729 million. We expect license revenue in the range of $492 million to $516 million and maintenance revenue and service and other revenue of approximately $187 million and $26 million, respectively. The change in our bookings and revenue outlook reflect the impact of our more muted annual spend growth outlook. From an expense perspective, we expect total GAAP expenses of $355 million to $360 million. Taken together, we expect GAAP operating income at a range of $350 million to $369 million for fiscal 2021 with GAAP net income of approximately $306 million to $321 million. We expect GAAP net income per share to be in the range of $4.46 to $4.70. From a non-GAAP perspective, we expect non-GAAP operating income of $395 million to $415 million and non-GAAP income per share in the range of $4.98 to $5.22. From a free cash flow perspective, we continue to target free cash flow of $265 million to $275 million. Our fiscal 2021 free cash flow guidance assumes cash tax payments in the range of $60 million to $70 million. As a reminder, the fourth quarter is typically our largest invoicing quarter with a significant number of our quarterly invoices due on June 30. To summarize, we are managing through some extraordinary dynamics in our core markets. The fact that we continue to grow and generate substantial free cash flow is a reflection of the value we deliver to customers and demonstrates the strength of our business model, we are confident that we will begin to see a meaningful improvement and growth rates as the market conditions normalize. With that operator, let’s begin the Q&A please.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Matt Pfau from William Blair. Your line is now open.
Antonio Pietri: Hi, Matt?
Matt Pfau: Hey, guys. Thanks for taking my questions. Just to start off, Antonio, just sort of want to understand that, change in time and guidance a bit better. You listed several reasons there. But it would seem that, really the new dynamic, that was probably an anticipated when you guided last time with these the cold weather events in Texas and in the south with COVID probably, being somewhat similar in terms of an impact from the second quarter, but either how do we sort of think about, what’s the sort of bigger dynamic there that has shifted some of the close rates and customer sentiment?
Antonio Pietri: Yes, I mean, I’d say that perhaps the dynamic that is new in this cycle that we certainly didn’t see and did not have in the last cycle in 2016 and 2017 is with our refining customers. Clearly, since last April, the significant drop-in fuel demand has had an impact on their business. But I think more importantly, or equally important, as oil prices have increased later in the year in 2020 and into 2021 their margins really compressed in some cases experiencing negative margins. And I think that lead to a pullback in spending by these customers. Now in the United States, refining margins have actually improved quite a bit in the last few weeks as the economy has opened up and traveling has pick up so we see that but they remain depressed in Europe in parts of Asia and they’ll probably continue until economic activity recover. So that’s primarily the new dynamic and that’s impacting the MSC business in particular, and also the engineering business or out of those customers. We believe that the softening of demand from our chemicals customer in Q3 had more to do in the U.S. with a weather event or they experienced in over Texas and other states. But I think it’s a refining business, the new dynamic that we’re seeing.
Matt Pfau: Got it. And so I mean as a sort of a situation with the refiners specifically where we’re just waiting for their businesses improve before demand returns, more robustly and close rates improved, or do we sort of need to wait to the calendar year flips over and budgets reset? How should we think about the drivers to get back to the better close rates there?
Antonio Pietri: Yes, look certainly we do think that, budgets that were said late last year were sort of discipline budget, if you will. At the same time, I do think the dynamics in Europe with continuation of lockdowns, and in India for example, we’re going on right now. And then the weather event as those disappear, certainly the weather event only lasts, the duration of it was very short-term, but the impact was longer term only in the last few weeks. Some of those assets have returned to operation. But look, I think in the second half of this year, these customers on a global basis will probably have a better, better financial performance. How does that translate into spending in the second half of the year? Look, time will tell and we’ll, of course, we will be engaged with those customers. But I, then again, later in the year, we’ll be looking at new budgets with a completely different macro environment. So, we’ll see what happens at that point.
Matt Pfau: Great, guys. Thanks for taking my questions. I’ll pass it on.
Antonio Pietri: Thank you.
Operator: Thank you. Your next question comes from the line of Jackson Ader from JP Morgan. You’re now live.
Antonio Pietri: Hi, Jackson
Jackson Ader: Thanks for taking my questions – hey, Antonio. First one on, between no decisions from some customers, and I think you mentioned a competitor, giving their software away for three years, competing hard on price. How are you guarding against the pressure, right, that salespeople will ultimately feel to maybe discount or take down the contract values here at the end of the fiscal year, just to try and get something across the finish line?
Antonio Pietri: Well, look first of all, we have truly rigorous approval processes for deals. And I can tell you the one of the largest deals that we had in our Q2 quarter, we did not give the sales team, the approval that we’re looking for to close the deal in Q2, that deal came over to Q3 and we finally managed to get to an agreement with the customer. It turned out that one normally is a customer that is very reliable, once we have an agreement with procurement to sign the deal. But the deal was sent to the CEO, which is never the case. But this time around was sent to the CEO for final approval. And the CEO held it along with other agreements that they were negotiating with other providers. So look, we monitor the health of our business. And of course, we have escalation levels for approvals internally. We will walk away from deals if we don’t think is the right deal to be had with a customer. We’re also not conducting a fire sale of our products here. But we do find look, you have a smaller pie of opportunities at the moment in the market are the weaker competitors are being very aggressive, just like they were in 2016 and 2017 absolutely the same behavior. And look, if anything, it strengthens our commitment to the value proposition from our products, when you have a customer that has an offer on the table to use a software of a competitor for three years at no charge, and they still decide to go with us then take and expand spend. So, I understand your point. But at the same time, we do see the pressure on pricing. But I like to think that, we run a business where we understand the value from our solutions. We will make accommodations if we believe it makes sense in the context of the macro. But in general, our customers have pre negotiated future token prices in their agreements that we have been negotiated over the last five years. And that is what’s used for their purchases if they want to expand entitlement during this downturn.
Jackson Ader: Okay, great, that’s helpful and then Chantelle maybe a clarifying question for you on the APM suite. How much has the APM contributed to annual customer spend growth so far in fiscal 2021? And then what are we expecting the APM contribution for the full year on customers? Thank you.
Chantelle Breithaupt: Yes. I think Jackson, great to get to know you. I will defer to Antonio for that specific question, if that’s okay, regarding suites.
Antonio Pietri: Yes, look. Thank you, Chantelle, and look Jackson, the APM suite, we continue to be very excited about it. The fact is that the use cases continue to expand into other industries. Now, it’s been deployed at a biofuels refinery as well. But the contribution was not what, we expected in the quarter again, as the lower guidance also means lower contribution from APM. And we believe that now APM will probably come below the one point of contribution. Now, we have a wide range of outcomes for APM in Q4. And, if we get a surprise on the upside, there could be a lot of strength in APM, but we’re not going to rely on that. And the guidance – overall guidance we’ve given for the business also reflects lower end of our guidance for APM or expectations around APM.
Jackson Ader: Okay. All right. Thanks for the clarification.
Antonio Pietri: Yes, no problem. Thank you.
Operator: Your next question comes from Rob Oliver from Baird. Your line is now open.
Antonio Pietri: Hi, Rob.
Rob Oliver: Great. Good evening, hi Antonio, hi, Chantelle, welcome to you as well. I’ve two questions, one for you, Antonio, to start. Just I appreciate some of the, color on – at the margin, sort of what changed relative to your forecast? And I know you’ve talked a little bit about end markets and just, obviously touched on APM their responses to Jackson’s question, which I think is on everyone’s mind, I wanted to ask about other particular products. Are you seeing particular products or products suites? Where you’re seeing the most pushback? And does that concern you on in any particular renewals? And how does that sort of match up with what you’ve seen in previous down cycles? Is this unique? Or does it look different? I just curious for any product related color? And then I had that quick follow-up.
Antonio Pietri: Yes, no, look I mean, actually, a lot of the dynamics that we’re seeing in the cycle we saw five years ago. If anything, our footprint in the market has strengthened across the board, our engineering suite, at the moment, we believe will actually probably be a little bit ahead of our growth projections for the year. We do expect our MSC suite now to be a double-digit grower this year. The impact from refining is much more pronounced on the MSC suite. And then our APM suite, we’ve communicated what we’re saying with that suite. So, but look, it’s not as if we’re losing on APM it’s not decisions. MSC is just a temporary low in spending on refining. And also softening in chemicals, which to me, it says that we had some dynamics in Q3, that perhaps were very specific to chemicals to the macro environment for chemicals. And then the engineering suite is doing a little – is ahead of our expectations a little bit. So, but now look, we’re doing well from a competitive standpoint.
Rob Oliver: Good. Okay. Thanks, Antonio. Appreciate that. And then Chantelle, one for you on, just on attrition, and I know this was before you had joined, but last quarter, the thought was that, attrition would be lower in the back half of the year. Now, you guys I think we’re talking about 6%. So, I just wanted to kind of focus on that a little bit and get your sense for what that is reflective of around particular renewals and how you guys feel is that or is that a range or is that fix just for the final quarter here for you guys for the year? Thank you.
Chantelle Breithaupt: Yes, no. Hi. Nice to meet Rob, Thank you. I think that’s a – we are still within the range that we have some guiding. What I would say, to be fair is what we see as bumping up the higher point of that range as we get into Q4 Rob, to your question. So, still the range but probably more towards the higher part of that range as we get the pressures Antonio mentioned during Q4. So hopefully that answers your question in regard to the ranges maintaining and we see pressure to get to the higher point in that range, but not moving above that range at this time.
Antonio Pietri: Yes. I mean, Rob, and Rob, what I would add to Chantelle’s answer. For the first time, we did see a couple of important customers and the engineering side in owner operators, and lead their renewals, expired and then renew them into this quarter. And toward there was a sign of a little bit of disorganization in their own organizations. They’ve renewed by the way we count for attrition is attrition, if it doesn’t get renew, and if it comes back, it’s growth. So, we expect those yields to renew so or to get sign as new business. So but look, there’s a lot of dynamics in the marketplace at the moment and around the world. And in some cases, we’ve seen a little bit of disorganization in our customers, businesses as well.
Rob Oliver: Okay, thank you guys very much.
Antonio Pietri: Yes, no problem.
Rob Oliver: Welcome.
Operator: Thank you. Moving on your next question comes from Gal Munda from Berenberg. Your line is now open.
Antonio Pietri: Hi, Gal?
Gal Munda: Hi everyone. Thanks for taking my questions. I’ll be quick. Appreciate the time. The first one just Antonio, if I’m thinking just expanding a little bit from the last thing you said, when you think about this slip bills effectively that you know we’re in that didn’t get signed? How much of that related to just the pure cadence of renewals bookings that you had in the quarter? And how – like what proportion of them were kind of new activity expansions, potentially stuff that you thought might add to the current bookings that you had up on top of renewals?
Antonio Pietri: Yes. So Gal, I guess just to clarify that, I don’t know if your questions are specific to maybe an over performance of the book inside versus expectations. But – look yes, so no, we look at we’re renewing the core of what’s available to us. The fact is that I’m not aware necessarily of any material renewal that we accelerated into the quarter, I think that over performance that you’re seeing has to do with the way we account for bookings, super seats and other stuff that where there are some parts of bookings are get recognized in the quarter from past quarter. So, I mean maybe Chantelle can add more color to that.
Chantelle Breithaupt: Yes, I think that – and nice to meet you Gal. I think that if I understand your question correctly. Your question was, if we are seeing more slips through the quarter during this environment, if I understand your question correctly, is that correct? Yes.
Antonio Pietri: Yes, basically on a, let’s say you’re on a five year deal, your deal’s off renewal, like, did you have instances with renew just the normal renewal cadence of the bill would have kind of been disrupted and slipped into the quarter were those all kind of new deals that didn’t get closed, because they didn’t get approved? Were there any issues with the renewal deals that were supposed to be just as automatically or programmatically kind of renewed, but those got pushed out? So those probably carry lower risk and into subsequent quarters.
Chantelle Breithaupt: Yes, I don’t think that, I think Antonio said there could be one or two during this time period that that slipped or became a new deal because of the timing on their sides. There are if you think about what some of our customers are going through right now, just the organization and the capabilities to put that all together on time for the renewal. I wouldn’t say that there’s anything indicating there’s a trend for that to happen. And therefore, the new deals were likely more than new deals, but not slipped renewal deals for the majority. I don’t see an increased trend in that, if that’s the question.
Gal Munda: That makes sense. Awesome. And then my second question is, when we kind of look at – maybe Antonio for you, when you kind of look at the target that you’ve talked about back in the middle of February. And you were in a bit kind of trajectory to get closer to how far away you think you are today to be able to deliver that kind of low teens growth on the annual spend is that kind of a 2020 without guiding but, is there like anytime which you see the environment improving, kind of in the near-term, or do you believe that the ends market has to improve a little bit better, as well to help you get there?
Antonio Pietri: Well, look, Gal, like I said, in my prepared remarks, we still have a lot of conviction about the ability to deliver double-digit growth in the longer term. The trajectory to get there we’ll give you an update on what we think we’re going to be able to do in fiscal 2022 later in the year when we do our earnings call for fiscal 2021. But, look in general, say, the engagement with our customers only continues to strengthen. The conversations around sustainability, are becoming more and more frequent, how our customers are viewing us as a strategic supplier of capabilities to help them navigate this environment and their businesses and transform their businesses for the future continues to strengthen. So, I think overall, and I’ve said it before, I’ve never been as excited about the future of this company as I am today. In a way, we misread the environment that our customers were facing, especially refiners. I do think that in Q3, there were very specific events that played a role in our performance. But that doesn’t change our conviction, about our ability to drive double-digit growth in the future and that’s what we’re working here to do. Including pulling towards investments that we put to work this fiscal year, and reaping the benefits of those investments over the next two to three years, three to five years. That’s what we’re here playing for.
Gal Munda: Right. That’s exactly what I was thinking in terms of these – all the reasons for Q3 kind of underperformance since you have seen one of the impacts. So, if you look kind of outside of that, I didn’t see any lasting changes that would make that trajectory over the midterm any difference? So, I just wanted to confirm that. I guess that’s very helpful. Thank you.
Antonio Pietri: Not at all. Not at all. And I would just add that we continue to see even greater interest from third parties, potential partners, to work with us in going to market to these customers, because they understand the role that we play in this marketplace, in our core industries. And that’s also to us an indication of how we’re being pursued in the market by customers and third parties. So, I think you’re taking the right take away from this.
Gal Munda: Thank you, Antonio. Thank you, Chantelle.
Chantelle Breithaupt: Thank you.
Operator: [Operator Instructions] And your next question comes from the line of Blake Gendron from Wolfe Research. Your line is now open.
Blake Gendron: Yes, thanks for the time this evening, guys. So, I understand the one-off impacts in the quarter. And really, there’s nothing you can do about competition outside of just bolstering the value proposition. And I definitely subscribe obviously to the MSC tailwinds and digital transformation overtime, but if we were to – maybe frame the conversation more so for engineering. Oil and gas prices are up, but there is a notion that the entire value chain is just going to be more disciplined from a CapEx perspective moving forward, this would be somewhat of a big structural change versus what we’ve seen in past cycles. Has this factored into your outlook for engineering suite growth moving forward? And have you seen any impact to the EPC customer base, in terms of E&C companies maybe even going away or cutting engineering heads? Things are a little bit more drastic to deal with the structurally lower outlook for specifically CapEx in oil and gas?
Antonio Pietri: Yes. So, let me say the following. Certainly there’s a few engineering companies that have reduced headcount. But nothing at all, like what we saw five years ago, I think engineering companies have been very disciplined about hiring. And they’ve been managing their backlogs in a way that allows them to sustain their businesses, even through this downturn. So, I would say that. The other point, the beginning of your question, around sort of reduce CapEx environment. Look, actually, I think in a way that that provides a counter driver for more focused in technology. When you engage owner operators, and refining and chemical, they all recognize that they are in a lower CapEx environment for a number of years here. And as such, they need to focus on their existing assets, and improve their performance, improve on the reliability of these assets, in general, continue to drive greater operational excellence. And every customer that I meet with at the executive level, the first thing they show us is their list of 40 or 50 or 60 initiatives as part of an operational excellence program that they’re focusing on to drive more value out of their existing assets. And those range from certainly digital capabilities in their offices and personnel to reliability assets, maintenance of those, there’s probably a list of 10 or 15 that in a way belong to AspenTech. And there’s a lot of actually excitement in our customer base about the next two to three, three to five years, I find, what I find and actually, I told my board this last week, there’s a tremendous dichotomy between what you hear in the news, in general about what’s going to happen to these industries. And then what you hear from customers, about what they view is our outlook for their businesses in chemicals and refining over the next two to three years. Certainly, there’s parts of the world where, there’s going to be some challenges, especially in refining. But look, I think, I think greater economic activity coming out of the pandemic we’ll rise all boats. And these companies provide the energy, the chemicals, and plastics that improve standards of living and drive economic activity. So, time will tell what happens here. But, we’re also very excited about the future so.
Blake Gendron: That’s helpful insight. So it sounds like any incremental frictions is a real opportunity for both MSC and obviously APM in that regard. I want one to switch focus to M&A. I guess, just more comments on the fact that you didn’t follow through with the buyback. So, you’re building cash here a little bit. Diversification is very important and pharma is one area of focus for you as metals and mining. Is it possible that you’re maybe gearing up for more than just tuck-in M&A to make a more concerted shift into either one of those verticals?
Antonio Pietri: Look, we’ll never discuss potential M&A. But what I’ll tell you is, we’ve certainly put our foot to the pedal on organic investments in fiscal 2021. You’ll see some of that, coming out of our Q4 quarter into fiscal 2022. Because we believe that accelerated investments over the last six months to nine months, will allow us to increase our lead on the competition as we come out of all this. So, we’ve been making investments, as we’ve been communicating to all of you over the last 12 months in the different areas that we’ve talked about. Certainly, inorganic M&A is always part of our picture. We’ve always said that we’re interested in doing bigger acquisitions, especially into these new industries that we talk about. But they would have to sort of fade within that filter that we put on them for – so that they’re supportive. Any M&A we do even if it’s bigger, has to be supportive or accretive to our profitability and double-digit growth ambition. So, look we’re constantly looking at things, but I won’t make any specific comments, but just know that part of our thesis is that investing during downturns provides a significant return down the road. So, and that’s what that’s what we’re doing, I will be doing.
Blake Gendron: Yes, that’s totally fair. The framework is very helpful. Thanks a lot for the time.
Antonio Pietri: Fair enough. Thank you.
Operator: Your next question comes from the line of Jason Celino from KeyBanc Capital Markets. Your line is now open.
Antonio Pietri: Hi, Jason.
Jason Celino: Hello. Hi, thanks for fitting me in. Maybe it’s just two quick ones. When I look at the Q4 annual spend guidance for the implied Q4 annual spend guidance, it seems very weak, sequential increase, much more subdued than a typical Q4. Is this more of a reflection of the added dynamic around the uncertainty on customer purchasing decisions?
Antonio Pietri: Yes. Look, we’ve heard – we’re being very careful about Q4, we’ve had two quarters where we came into the very end of the quarter thinking that we’re going to deliver, good, solid quarters, and it did not materialize. So, you would expect us to be more cautious about the Q4 performance. What I’ve told you is, we came into the quarter with a very sizable pipeline of business. But at the same time, we’ve been beaten twice by expectation, so we’re being more cautious.
Jason Celino: Okay. And then, before we were thinking that annual spend growth could possibly trough over the next couple quarters. This framework still, apply but maybe deeper troughs and what we expected?
Antonio Pietri: I mean, look, we’ll talk about 2022. But I think in a wave, we’ve sort of been established a pattern of growth in three quarters in a row. We’ll see what Q4 does, our Q4 last year was a very strong quarter. But I don’t necessarily think that customers understood what was ahead of all of us with a pandemic. But we’ll see, the Q1 and Q2 quarters, this year, I think are representative of the full impact of the pandemic and everything that was going on uncertainty. So, I think, if it was a continuation of some of the issues around the world with a pandemic, you could be seeing similar quarters in Q1 and Q2. But we’ll talk about more specifically at later in the year.
Jason Celino: Okay. Excellent. Well, I appreciate the time. Thank you.
Antonio Pietri: Thank you, Jason.
Operator: Thank you. There are no further questions at this time. I’ll now hand it back to our CEO Antonio Pietri for any closing remarks.
Antonio Pietri: All right. Thank you, Operator. And look, I want to thank everyone for joining the call today. I know it’s busy times during earnings season, and look forward to doing callbacks with all of you and I’m fully vaccinated. So hopefully, meeting in person at some point here in the in the future. Thank you everyone.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.